Operator: Good day everyone and thank you all for joining us to discuss Equity LifeStyle Properties’ Third Quarter 2014 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President of Operations. In advance of today's call, management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the Company's earnings release. As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meanings of the federal securities laws. Our forward-looking statements are subject to certain economic risk and uncertainty. The Company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. At this time, I would like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader: Good morning and thank you for joining us today. Before Paul provides a more detailed review of the quarter and our initial 2015 guidance, I will give you some general commentary on operations and our recommended dividend increase for 2015. Our real estate footprint is attractive to the growing population of retirement-age baby boomers who are turning 65 at a rate of 10,000 everyday. We often talk about the stability of our cash flow, but of equal importance is the stability that our customer is seeking with our lifestyle offerings which include, resort settings in attractive Sunbelt climates. We set a goal in the beginning of 2013 to increase the number of homeowners in our portfolio. Since that goal was set, we have increased used home sales volume by 34%. On the new home sale front, we sold 190 homes year-to-date. This compares to last year, when we sold 57 homes through the first three quarters. Over half of the new homes we sold in our MH communities this quarter were through the joint-venture with Cavco, allowing us to efficiently utilize our capital. The new home buyer we’re seeing the younger retiree buying a home with an average sale price of $68,000. We’re seeing an increased number of customers buying a new home after living in the community and trying out the lifestyle. These conversions are part of the two-step process we often see when our customers are deciding where to plant roots for their retirement years. In the third quarter, we had our 20th successive quarter of occupancy growth and our occupancy at our MH properties is 92%. For the first three quarters of the year, homeowner occupied sites increased by 299, while sites occupied by home renters decreased by 131, which compares favorably to last year. Emphasizing the quality of occupancy growth is important and will continue to be a focus. From a macro perspective, we see our new customers buying homes for cash and our existing customers able to resell their homes in place. Within our RV platform our properties performed better than anticipated. I believe it is helpful to take a step back to view the progress of our RV portfolio this year. We increased -- we issued guidance last year anticipating a 3.8% increase in RV revenue. We’ve updated that projection throughout the year and now project to finish the year with a growth rate of 6.2%. From a marketing perspective, we’re driving new customers to our RV resorts. We have increased our presence at rallies, trade shows and travel Web sites. We’re focused on having a presence wherever an RVer is looking for their next vacation adventure. The transient component which is the most difficult to predict had performed well for us this year. Our transient business is concentrated in the summer months with over 50% of the full year revenue coming in from Memorial Day to Labor Day. The three key holiday weekends performed 12% better than last year. This additional revenue was driven by a combination of new customers visiting our resort, existing customers returning, and maximizing the rate increase where demand is high. We’re now turning our marketing efforts to our Snowbird locations, where we’re seeing increase demand for our product offerings. Our reservation pace is up in all three categories of revenue, annual, seasonal and transient. We’re seeing the consumers’ behavior continuing to trend toward online decision-making and have adjusted our marketing efforts accordingly. Turning 2015, each year we finish our budget process in October and provide some detailed projections for the following year. We have issues guidance of $2.93 for next year, while our visibility in certain line items makes them difficult to project, we believe demand for our product is strong and we will continue to see the same positive trends from 2014 coming into 2015, including strength in our RV footprint and increased MH ownership transactions. I would like to update you on our proposed 2015 dividend policy. The ultimate decision for the dividend policy is a Board-level decision that is typically done at our November Board of Directors meeting. As in the past we feel it’s helpful to highlight management’s recommendation with respect to the dividend. Each year to arrive at a recommendation we review our projected growth in FFO and our outstanding obligations, with a goal of ensuring our underlying financial flexibility. Last year we addressed significant maturities that we’re coming due in 2014 and 2015 and increased the dividend by 30%. We’ve increased our dividend significantly over the last few years. The stability and growth of our cash flow, our solid balance sheet and the strong underlying trends in our business have led our management team to recommend a 15% increase in our dividend to a $1.50 for 2015. This proposed dividend will provide the 11th consecutive year of dividend growth for ELS and a 15% increase over the last two years. Please note that while this is management’s recommendation, the Board has not yet met to discuss it. The Board is expected to discuss the 2015 dividend policy in early November at the quarterly Board of Directors’ meeting. I will now turn it over to Paul to walk through the numbers in detail.
Paul Seavey: Thanks, Marguerite and good morning everyone. I will review our third quarter results, walk through our detailed guidance assumptions for the remainder of 2014, and discuss our preliminary guidance for 2015. We reported $0.69 normalized FFO per share for the third quarter, a penny ahead of our guidance. Our combined core and acquisition property operations performed in line with guidance. We realized higher than expected home sale profits which were offset by higher financing costs resulting from closing our Colony Cove refinancing earlier than anticipated. In addition, we recognized almost $1 million of income from a joint-venture distribution following refinancing of a property. Core base rental income was slightly higher than forecast, up 3% with 2.6% coming from rates and 40 basis points coming from occupancy. We gained 53 sites during the quarter and have increased occupancy by 168 sites since year-end, while reducing rental occupancy by 131 sites. By comparison at this time last year our year-to-date occupancy increase was 224 sites and we had increased our rental occupancy 348 sites. Our core RV revenues were higher than guidance as a result of better than expected annual and transient revenues. Annuals increased 5.4% and transients increased 8.9% for the quarter compared to last year. We continue to see strong demand for annuals across our portfolio which provides an opportunity to increase both rate and occupancy. Demand for transient business was strong across our Northern properties as well as locations in California and the West. Membership dues revenue as well as the net contribution from membership upgrade sales were in line with guidance. During the quarter we sold approximately 3,650 annual memberships an increase of almost 14% over last year. We refer to these annual memberships as zone park passes or ZPPs. Our year-to-date ZPP sales volume for 2014 is approximately 8,400 units, an increase of 10% compared to last year. Our RV dealer network generated 2,600 zone park passes in the quarter and 6,300 year-to-date. Our renewal rate for these RV dealer memberships is almost 20%. In the quarter, core property operating expenses were higher than forecast. This is primarily the result of increased repair and maintenance expenses related to storm events in the North and West, as well as certain one-time items at various properties. During the quarter, we realized approximately $400,000 of other property income related to insurance reimbursements from past storm events. In the year-to-date period our expense growth rate for utilities, real estate taxes and insurance which represent almost 50% of our property operating expenses, increased 3.4%. Overall, core NOI before property management grew 5% in the quarter, higher than guidance as a result of strong revenue growth. Year-to-date core NOI increased 4.4%, core revenues were up 3.6% and core expenses have increased 2.5%. NOI from acquisition properties was $2 million in the quarter. Year-to-date the acquisition properties have contributed $6.7 million of NOI. In our press release, we mentioned the acquisition of four properties in September and October. The September closings occurred at the end of the month and had no impact on results for the quarter. Property management and corporate G&A were in line with guidance at $18.1 million. Other income and expenses were 5.7 million, higher than guidance as a result of a one-time distribution from one of our joint-ventures and better than expected new home sales profits. Financing cost of $30.2 million were higher than guidance because we closed our previously announced Colony Cove refinancing earlier than anticipated. Year-to-date normalized FFO was $2.10 per share, a growth rate of 8.8% over 2013. The press release and supplemental package provide fourth quarter and full year 2014 guidance in detail, as well as preliminary 2015 guidance. As I discuss guidance, keep in mind, my remarks are intended to provide our current estimate of future results. All growth rates and revenue and expense projections represent midpoints in our guidance range. Our fourth quarter normalized FFO guidance is approximately 58.5 million or $0.64 per share at the midpoint of our guidance range. We expect core revenue growth of 3% and core expense growth of 1.3% to result in core NOI growth of 4.2%. We assume no core MH occupancy gain during the quarter. Looking ahead to the fourth quarter in our RV business, our current annual, seasonal and transient reservation pace is in line with our expectations. Our core expense growth assumption of 1.3% reflects the impact of the accelerated amortization of RV dealer expenses in the fourth quarter of 2013. Expense growth excluding membership sales expenses is forecast at 2.3%. For the full year, we expect core revenue growth of 3.5%, core expense growth of 2.2%, and core NOI growth of 4.4%. Normalized FFO at the midpoint of our guidance range is about $251 million or $2.74 per share for 2014. Our preliminary guidance for full year 2015 normalized FFO is approximately $268.5 million or $2.93 at the midpoint of our range. This represents a 7% increase over 2014 normalized FFO. Growth in Core NOI before property management is expected to be approximately 4.3%. Our projections of core NOI and normalized FFO growth for 2015 assume fourth quarter 2014 results will be consistent with our stated guidance. We plan to update guidance on our January call and we may adjust growth rates on certain line items after we finalize results for 2014. We assume flat occupancy in our MH properties for 2015. Base rent is expected to grow 2.8% with 2.6% coming from rate and 20 basis points from occupancy resulting from sites we filled in 2014. Our 2014 rate growth is impacted by unbundling efforts we completed throughout 2014. 2015 rate is about 40 basis points lower as a result of this unbundling. Going forward these amounts will be recognized in utility and other property income. In our RV resort business we expect 5% growth in annuals resulting from strong increases in both rate and occupancy across our portfolio. Our guidance assumes a 3% increase in both seasonal and transient revenue for 2015. Our first quarter generates just over 50% of our seasonal revenue for the year and approximately 20% of our transient revenue. Our current reservation pace is consistent with our guidance assumptions. Our membership business which consists of right-to-use annual payment revenue, right-to-use contract sales and sales and marketing expenses is expected to perform slightly better than 2014. In 2015 we expect to sale approximately 11,000 zone park passes and we expect the RV dealer program to generate 9,500 additional ZPPs. Core expenses are assumed to increase 1.5% in 2015. Utilities, real estate, taxes and insurance represent 50% of our expenses and are expected to increase 2.5%. We do not assume storm events or other one-time items in our guidance. Therefore, our other core property expenses are expected to increase slightly in 2015. Financing costs include savings resulting from normal principal amortization during 2014 and 2015 as well as the use of approximately $40 million of cash on-hand to repay maturing debt in 2015. We assume no acquisition activity in our guidance for 2015. I’ll now provide some comments on our balance sheet. As previously disclosed, during the quarter we closed the refinancing of our Colony Cove asset. The existing mortgage of our approximately $54 million was scheduled to mature in 2017 and had a fixed rate of 4.65%. In negotiations with a life insurance company, we were able to secure $115 million 25 year, fully amortizing loan with a fixed rate of 4.64%. Uses of excess cash proceeds include funding our recent acquisition activity, repaying maturing debt in 2014, as well as repaying debt in 2015. Current secured debt terms are 10 years that coupons in the 3.5% to 4% range, 60% to 75% loan-to-value and 1.35 to 1.5 times debt service coverage. We continue to see some interest in long-term financing options from life insurance companies, though there are fewer life companies interested in providing this long-term debt today. High quality H-qualified MH assets continue to command best financing terms. We continue to place high importance on balance sheet flexibility and we believe that we have multiple sources of public and private capital available to us. Our recently restructured line of credit has $400 million of availability. Now we would like to open it up for questions.
Question:
and:
Operator: Thank you very much, Paul. (Operator Instructions) Please stand-by for your first question which is from Nick Joseph from Citigroup. Please proceed.
Nick Joseph : Thanks. You mentioned improving the quality of occupancy for the rental program what is the conversion ratio from renters to buyers in 2014 and how does that compare to your historical average?
Citigroup: Thanks. You mentioned improving the quality of occupancy for the rental program what is the conversion ratio from renters to buyers in 2014 and how does that compare to your historical average?
Paul Seavey: We increased the focus on converting existing renters to homeowners. We’re seeing improvement in that trend and 10% of home sales year-to-date were the result of conversions of existing renters and that compares to 4% in 2013.
Marguerite Nader: And Nick that’s the existing renter buying the home that they are in.
Nick Joseph : Okay. And do you see existing renters buying within the community of different homes as well?
Citigroup: Okay. And do you see existing renters buying within the community of different homes as well?
Marguerite Nader: We do see that. And we don’t track that as closely but it is something that we’ll be looking at. But we do see that happens very frequently where there they don’t buy the home that they are in but they buy the home across the street or down the road within the community.
Nick Joseph : Okay. And then how much room is there to increase occupancy in the MH portfolio. And then can you talk about the expansion opportunities that exist in sites both I guess on MH and on RV?
Citigroup: Okay. And then how much room is there to increase occupancy in the MH portfolio. And then can you talk about the expansion opportunities that exist in sites both I guess on MH and on RV?
Marguerite Nader: Sure. We have about 5,500 unoccupied sites in our portfolio and roughly I think 60% of that is that our age restricted properties. And we have a lot of that opportunity is inside of Florida with roughly 50% on the vacancies in Florida. With respects to expansion opportunities we talked when we went on our tour last in September about Monte Vista viewpoint these are RV properties that we have expansion opportunities. The expansion opportunities on the MH side we don’t have as many as the 6,000 acres that we have of expansion land is basically located adjacent to our RV properties. So you saw in viewpoint what we’re doing building out do 50-60 sites at a time and there’s been additional 300 sites there that can be built out.
Nick Joseph : Thanks. And then what sort of returns do you target on those -- the expansions that you just spoke about?
Citigroup: Thanks. And then what sort of returns do you target on those -- the expansions that you just spoke about?
Marguerite Nader: I think what we look at or I’ll just take the viewpoint for example it cost us about $17,000 to build out the site we obviously own the land and we’re building out site just from the development perspective. And we get revenue of about $5,000 to $6,000.
Nick Joseph : Great, thanks.
Citigroup: Great, thanks.
Operator: Thank you very much, Nick. The next question comes from the line of David Toti from Cantor Fitzgerald. Please proceed.
David Toti : I might have a couple of general questions. Marguerite, you’ve mentioned a little bit increasing marketing channels and sort of pushing on utilization rates. Given that those rates remain relatively stubborn what can we expect to see in terms of strategy from the Company in the next year or two to try to move those numbers up a bit?
 Cantor Fitzgerald: I might have a couple of general questions. Marguerite, you’ve mentioned a little bit increasing marketing channels and sort of pushing on utilization rates. Given that those rates remain relatively stubborn what can we expect to see in terms of strategy from the Company in the next year or two to try to move those numbers up a bit?
Marguerite Nader: Yes, I mean what we’ve done, we’ve done a few things with respect to marketing specifically on the MH side is updating our Web sites and kind of creating specific micro Web sites for a particular focus community because we have some areas of vacancy where we can say have 15 sites where we can advertise and market and we end up building micro sites so that we can handle that kind of traffic that local traffic. A lot of local marketing campaigns so that we’re taking advantage of what’s happening in the general area and building off of that. We’re also I believe doing a much better job of tracking our shoppers that are coming from Web sites so for instance if you go on to our Web site and then you’re shopping looking around, we’re able to kind of track you through if you go to another Web site you see an ad for ELS come up. And that has been successful over the past three or four months as we’ve been experimenting with that, so, a lot of experimenting on the online channels.
David Toti : Okay, that’s helpful. And then Paul I just have a follow-up question for you relative to the transaction markets. And just if you could just provide a little bit more detail in terms of what you’re seeing given where cap rates are, are you seeing more assets come to market? Is there any interest in OPs given the nature of ownership? And is there really any difference in terms of what’s in the markets today between age restricted and all aged opportunities?
 Cantor Fitzgerald: Okay, that’s helpful. And then Paul I just have a follow-up question for you relative to the transaction markets. And just if you could just provide a little bit more detail in terms of what you’re seeing given where cap rates are, are you seeing more assets come to market? Is there any interest in OPs given the nature of ownership? And is there really any difference in terms of what’s in the markets today between age restricted and all aged opportunities?
Marguerite Nader: I mean right now David we’re working with interested sellers and the timing is hard to figure out when future transactions will be had. But we have various stages of LOIs and contracts but we are seeing an increase of interest in our operating partnership units as really to alleviate the immediate tax impact for the seller a lot of these sellers have -- they develop the communities or they’re long time owners and they have a large tax gain. So that is something that is, it is very interesting for prospective sellers. And as to just the general marketplace I think we’re seeing just the same amount of deal flow that we’ve seen in the past.
David Toti : So, no noticeable changes of flow given where cap rates are and where asset pricing is overall?
 Cantor Fitzgerald: So, no noticeable changes of flow given where cap rates are and where asset pricing is overall?
Marguerite Nader: No, there is no change.
David Toti : Okay, thanks for the detail today.
 Cantor Fitzgerald: Okay, thanks for the detail today.
Marguerite Nader: Thanks, David.
Operator: Thank you for your question. The next question comes from the line of Jana Galan from Bank of America. Please proceed.
Jana Galan : Thank you. Good morning. Following up on current acquisitions, can you provide some more detail about the ones you closed in September and then the one RV in October?
 Bank of America Merrill Lynch: Thank you. Good morning. Following up on current acquisitions, can you provide some more detail about the ones you closed in September and then the one RV in October?
Marguerite Nader: Sure. We bought three RV properties in September from a distressed seller who had mismanaged the properties. These properties were, they were auctioned off online and we bought them for about I think they were about 800 sites for about $14,000 per site. One property is on Cape May located a few miles from another ELS community and one property is about 20 miles West of Cape May, and then the other is in New Hampshire. We have some work to do on these properties to bring them back just from an operations perspective and then with respect to the fourth property that we closed in October it is a 270 site RV resort that actually shares a property line with an MH property that we own on the East Coast to Florida and the pricing on that was about $22,000 a site.
Jana Galan : Thank you.
 Bank of America Merrill Lynch: Thank you.
Operator: Thank you very much for your question, Jana. Next question comes from the line of Paul Adornato from BMO Capital Markets.
Paul Adornato : Thanks. Good morning. I was wondering if you could give us an update on what you’re seeing in terms of supply of new space, both in terms of new communities as well as expansion within the industry overall?
 BMO Capital Markets: Thanks. Good morning. I was wondering if you could give us an update on what you’re seeing in terms of supply of new space, both in terms of new communities as well as expansion within the industry overall?
Marguerite Nader: We haven’t really seen any new development, that’s kind of consistent with -- the story has been the same for the last 15 years. Not any new development on the MH side not really any new development on the RV side although there have been some discussions lately that I’ve heard of some RV parks in Florida vis-à-vis one-off deals 50 site communities kind of thing so nothing of any magnitude. As you know Paul it’s just difficult to get the entitlements to build MH communities or RV communities. So it is difficult to replace these.
Paul Adornato : Okay, great, just checking in on that. Thanks.
 BMO Capital Markets: Okay, great, just checking in on that. Thanks.
Marguerite Nader: Yes absolutely.
Operator: Thank you, Paul. (Operator Instructions) The next question comes from the line of Todd Stender from Wells Fargo. Please proceed.
Todd Stender : Hi, good morning everybody.
Wells Fargo Securities: Hi, good morning everybody.
Paul Seavey: Good morning Todd.
Todd Stender : Have you budgeted to put money into the newly acquired New Jersey properties? And what do you think that once that CapEx is in there if you are putting money and what does that cap rate look like once these are stabilized?
Wells Fargo Securities: Have you budgeted to put money into the newly acquired New Jersey properties? And what do you think that once that CapEx is in there if you are putting money and what does that cap rate look like once these are stabilized?
Marguerite Nader: I think the New Jersey properties what we have there is, there is certain CapEx that has to go in there and we have rolled that into our 2015 thought. But really it is more of bringing the customers back. It’s more of a marketing effort. And we think once that stabilizes, I mean they are obviously off season right now so we have a little bit of time to get up and running. We think that the cap rate would be about 8% on those deals.
Todd Stender : Okay. And what are the occupancies look like now. And what do you that will get to what kind of upside do you think over call it two to three years wherever it takes to reposition those. What kind of occupancy gains do you expect?
Wells Fargo Securities: Okay. And what are the occupancies look like now. And what do you that will get to what kind of upside do you think over call it two to three years wherever it takes to reposition those. What kind of occupancy gains do you expect?
Marguerite Nader: Well we are just from standpoint of the 800 sites on the Northeast they are about 23% transient base and the rest is in annual base. So you have the ability to certainly increase the annuals, increase the rate on the annuals. And then it’s a matter of making certain that that transient business comes back and building back up that business. So it’s kind of difficult to say where we would be at. But we see that there is upside in these properties. And just as -- we bought as I mentioned we bought these online. But these are properties that had been looking at over the last four or five years. And so we were very familiar with the assets.
Todd Stender : If these were stabilized and maybe you can comment on your Florida assets, what do you think the cap rate differential is if you are going to build that up to call it an 8, what do you think the market rate is on a fully stabilized RV community?
Wells Fargo Securities: If these were stabilized and maybe you can comment on your Florida assets, what do you think the cap rate differential is if you are going to build that up to call it an 8, what do you think the market rate is on a fully stabilized RV community?
Marguerite Nader: I think I mean you could -- these are transactions that have happened in that general marketplace that are significantly lower cap rates. So I think it’s a matter of once it gets to a stabilized level, I think you see the value there.
Todd Stender : And then you commented earlier Marguerite on existing renters converting to homeowners. Do you guys have any average cost of the rent for those folks in the quarter versus now the cost to own just seeing if it’s cheaper to own at this point and if you can quantify any of that?
Wells Fargo Securities: And then you commented earlier Marguerite on existing renters converting to homeowners. Do you guys have any average cost of the rent for those folks in the quarter versus now the cost to own just seeing if it’s cheaper to own at this point and if you can quantify any of that?
Paul Seavey: Yes, typically when the renter is purchasing the home that they are in and we are presenting them the opportunity to purchase that home. The value proposition is relatively equivalent. If it’s renter who has tried on our community they look at the home they have decided that is where they want to put down roots. And if they take advantage of the financing you’d expect online payments to be relatively similar. If they pay cash for that all clearly they are going to have a drop off in what would have been the rent going to the home. And they will move forward paying the site line.
Todd Stender : Great that’s helpful. And Paul you talked about the new loan you obtained from the life insurance company for 25 years. Will Fannie and Freddie go out that far and what kind of loan-to-value did you obtain on that?
Wells Fargo Securities: Great that’s helpful. And Paul you talked about the new loan you obtained from the life insurance company for 25 years. Will Fannie and Freddie go out that far and what kind of loan-to-value did you obtain on that?
Paul Seavey: The Fannie and Freddie don’t really have programs for going out that far. The LTV was 60% on that which is typical for a life company. Fannie and Freddie we have seen as I mentioned on our prior call from Freddie Mac the development of their MH program and interestingly Fannie Mae who historically has not been a lender on park rental RV assets during this past quarter have announced that they have created a program to do just that. So there is an additional source for financing for our RV park rental assets.
Todd Stender : Great, thank you.
Wells Fargo Securities: Great, thank you.
Operator: Thank you very much for your question Todd. Ladies and gentlemen that is all the time that we have for questions. I would now like to turn the call back over to Marguerite Nader for closing remarks.
Marguerite Nader: Thank you very much. Paul is around all day today to answer any further questions. Thank you.
Operator: Thank you for joining today’s conference. Ladies and gentlemen, this concludes the presentation. You may now disconnect. Have a good day.